Operator: Ladies and gentlemen, good day and welcome to the Ever-Glory International Group, Inc Third Quarter 2020 Earnings Conference Call. Today’s call is being recorded. And at this time, I would like to turn the conference over to Mr. Wilson Bow. Please go ahead, sir.
Wilson Bow: Thank you, operator. Hello, everyone, and welcome to Ever-Glory International Group’s third quarter 2020 earnings conference call. The company distributed its earnings press release earlier today via Newswire services. You can also download it from Ever-Glory's website at www.everglorygroup.com. Now with us today is Ever-Glory's Chief Financial Officer, Mr. Jason Wang. Mr. Yihua Kang, Ever-Glory's Chairman, President and Chief Executive Officer now is on a business trip today, and unable to join the call. So Mr. Wang will read the prepared remarks on behalf of Mr. Kang.
Jason Wang: Thank you. Good morning to those in the U.S. and good evening to those participants in Asia. Thank you for joining our third quarter 2020 earnings conference call. We are very pleased to announce the 2020 third quarter results with 10.3% year-over-year increase in retail sales. We achieved year-over-year improvement in gross profit of 2.0% for our retail business. This increase was primarily due to an increase in compensation. For our wholesale business, decreased 44.9% in sales compared with the three mounts ended September 30, 2019. The company’s wholesale business is significantly affected as the company is facing a sharp decline in its order quantities in the spread of COVID-19 around the world and the  economic downturn, where we actively respond to the changes in the external economic environment. During the third quarter, we maintained our focus on developing the retail business through our multi-brand strategy and store network optimization initiative, while improving our wholesale business by upgrading our customer portfolio and improving our accounts receivable. On retail side, our brands continue to attract new customers and existing customers by focusing on design, quality and value. Our inventory management strategy continually improved the balance between inventory turnover and our diligent cost control measures further strengthening the profitability of our business in order to create more visible and accessible locations. We have remodelled and relocated total eight stores during the third quarter of 2020.
Wilson Bow: Thank you, operator.
Operator: Thank you. Ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.
End of Q&A: